Operator: Thank you for standing by, and welcome to the Anaplan First Quarter Fiscal 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today’s conference is being recorded. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Ms. Edelita Tichepco. Thank you. Please go ahead, ma’am.
Edelita Tichepco: Good morning. Thank you for joining us on today’s conference call to discuss Anaplan’s first quarter fiscal year 2022 financial results. Joining me on the call are Frank Calderoni, our Chief Executive Officer; and Dave Morton, our Chief Financial Officer. On this call, we will be making forward-looking statements, including financial guidance and expectations for second quarter and fiscal year 2022, anticipated future operating and financial performance, strategies, customer demand, products and technologies. These statements reflect our best judgment based on factors currently known to us and actual events or results may differ materially. Please refer to documents we file with the SEC, including the Form 8-K filed with today’s press release. Those documents contain risks and other factors that may cause our actual results to differ from those contained in our forward-looking statements. These forward-looking statements are being made as of today and we disclaim any obligation to update or revise these statements. If this call is reviewed after today, the information presented during this call may not be current or accurate. We will also discuss non-GAAP financial measures, which are not prepared in accordance with generally accepted accounting principles. Unless otherwise stated, during the call, all references to our gross margins, expenses and operating results are on a non-GAAP basis. For historical periods, a reconciliation of GAAP and non-GAAP results is provided in the press release and in supplemental financial information on our Web site. And with that, I will turn the call over to Frank Calderoni.
Frank Calderoni: Thank you, Edelita. Good morning everyone and thank you for joining us today. We started our fiscal year with a solid first quarter as the need for enterprise-wide planning is increasing globally. This quarter reflects our steady execution with healthy new customer growth, ending the quarter with over 1,700 customers.  Our results continue to build on our market leadership and the growing interest in digitizing planning across every function. The unique [first] (ph) of our platform and the ability to cross-sell was also reflected in the strength of bookings from existing customers. Approximately 64% of new bookings this quarter came from expand deals. This was slightly above our historical average of 60%. We now have 473 customers with ARR over 250,000.  Billings grew 32% year-over-year, and we exited the first quarter with the remaining performance obligation, or RPO balance of $832 million, up 29% over the last year. We are pleased to see that our new customer wins and expand deals were across a broad set of industries.  One key industry where we made an impact is in automotive. This sector is seeing several disruptive technology-driven trends in mobility, autonomous driving, electrification and connectivity. As a result of these trends, this industry needs a platform that can manage in real-time all the major implications related to manufacturing and supply chain.  With our robust platform, we won several key customers in the automotive sector. A large global auto supplier with over $40 billion in revenue chose Anaplan as the only planning solution that can improve the quality and overall speed of decision-making across their entire business in order to proactively respond to the disruptive trends in the automotive sector.  Another key win for us this quarter was with one of the world's largest commercial vehicle manufacturers based in Europe. This customer selected Anaplan to improve margins to optimizing their supply chain. This customer needed our solution to manage an increasingly complex global production network and higher market volatility.  Now more than ever, there is a greater urgency and opportunity for Anaplan to help businesses leverage planning as a strategic management tool by connecting their goals to tangible business outcomes. I would like to provide a few examples of the ways in which we enabled this for our customers.  Our multibillion dollar global leader in cloud computing is leveraging Anaplan for go-to-market planning. In the first quarter after implementation, the customer saw top line revenues increase up to 10% and an additional reduction in their cost of acquisitions by up to 10%, delivering significant P&L impact.  The most advanced companies are positioning their business for the next normal after the crisis, and sales planning is a key area of focus. Anaplan helps customers identify sustainable, profitable growth through a range of strategies around intelligence segmentation, promotions, trade management and pricing.  Another area of focus that has been highlighted by the pandemic is the impact on global supply chain. For example, the ability to get supply from your suppliers in different countries, what's happening with the end customer and the ways in which inventory can drain your profits. Our platform has helped many customers manage their supply chain. A large U.S. appliance repair provider deployed Anaplan to help drive down inventory by 55% in less than six months, improving working capital for the business. Following that success in supply chain, just a year and a half later, the company went live with our workforce planning solutions driving improvement in productivity and greater ability to respond to changing customer needs. In the healthcare industry, we’ve seen this space undergo sweeping change. To emerge as winners, healthcare companies need to have a modern planning solution, enabling rapid decision-making. Another customer, a leading healthcare technology company, leveraged Anaplan to help improve the predictability of their business, enable a better patient experience and expand revenue opportunity. Historically, their planning models had unpredictable swings and poor forecast accuracy. After implementing Anaplan, they predicted a 15% increase in revenue, and ultimately landed that quarter with 98% accuracy. These customer examples highlight how a modern approach to real-time planning can drive business outcomes and serve as a key competitive differentiator in today's fast-paced environment.  From an innovation perspective, we have been investing in our technology to deliver even more impact and value for our customers. I'm excited to share that we are on track to launch Anaplan PlanIQ with Amazon Forecast. PlanIQ makes AI and ML more [assessable] (ph) to help business users make faster and more accurate decisions.  We completed the early access program for PlanIQ with positive customer feedback, while providing significant business outcomes. As an example, a large retailer in Asia Pacific improved forecast accuracy by several points, revealing several million dollars in potential cost savings. Furthermore, it only took about two days to launch PlanIQ for demand planning, incorporating many years of historical data for over 10,000 SKUs.  We also worked with a pharmaceutical company who experienced significant improvement in predictions for a majority of their SKUs by up to 16%, enabling millions in upside to profitability. As businesses begin to recover, we are ready to take advantage of the improving demand environment.  From a go-to-market perspective, it's great to have Bill Schuh on board as he will continue to build operational excellence in areas such as better customer qualification, rigorous opportunity reviews, and coaching to drive sales productivity. Through Bill's leadership, we are also focused on the expansion of Anaplan's platform to other use cases and functional areas within our customer base.  Evaluating our pipeline, we're seeing interest in areas such as supply chain and HR as well as opportunities for multifunction deals. As part of supporting best-in-class expansion selling, one of the areas we are focused on is driving greater customer adoption and value realization.  For example, one of the factors that influences adoption is the number of customers who have implemented a COE, or Center of Excellence, which broadens the use of our platform. I'm excited to share that the number of customers with a COE grew over 100% year-over-year.  The continued scaling of our partner economy will also ensure our ability to take advantage of the large market opportunity. Throughout all of last year and this past quarter, our partners have continued to invest and hire Anaplan resources, which is a testament to the level of customer interest and momentum they are seeing in the market for enterprise grade planning solutions.  This quarter, seven of the top 20 deals were sourced by partners, and another 11 had strong partner influence in the sales cycle. GSIs are investing heavily in scaling their Anaplan practice in areas such as alliance managers, go-to-market leads, solution development, co-marketing funds and more.  Over the next year, a major GSI will continue to expand and build Anaplan global delivery centers around the world. It's exciting to see our partners grow their practices across newer territory, including wins in Germany with EY and Deloitte and one of our largest deals ever in Japan with PwC.  Our cloud partnerships with Google Cloud and AWS announced late last year allow us to further build on this ecosystem. These partnerships will expand the reach of our platform through new geographies, and provide powerful opportunity for collaboration with the GCP and AWS go-to-market teams. From a market perspective, we believe Anaplan’s strategic positioning within the planning category has strengthened, as both Gartner and Forrester validate the importance of extended planning to other functional areas. Similar to Gartner's concept of xP&A, Forrester recently published a report that discusses the emergence of digital operations platform planning and analytics tools. Forrester reiterates that businesses need modern purposeful planning applications that can cut across the business. They recommend to customers that while EPM solutions have historically been associated with financial planning and budgeting, the category of applications has now evolved across a wider range of business functions. We have solidified our strategic position in the xP&A category, further validating Anaplan’s next generation approach to planning.  Looking ahead, I'm excited to provide an update on our annual user conference DigitalCPX. Demand for both user centered content and business decision maker content geared towards C-level and leadership has remained high. So we have decided to host two global customer events. The first in June, which will feature Anaplan customers and our model build a community with a focus on user training and briefings to accelerate platform value realization.  In October, we are revealing an entirely new virtual experience of business transformation leaders, platform power users and aspiring Master Anaplanners. Our user conference plays an important role in bringing together our world class ecosystem of certified Anaplan experts.  Over the last year, we have expanded the number of Anaplan trained experts across a variety of functional backgrounds. The total number of professionals that completed one of Anaplan’s certification levels has increased over 100% year-over-year. This includes Anaplan talent at our customers, partners as well as their own employees.  We have also partnered with Correlation One to enhance our Anaplan for All program focused on building one of the largest and most diverse community of data professionals through training and data skills and career navigation.  In summary, we made solid progress on our growth strategy in Q1. We are in the early stages of the recovery, and we're confident in the momentum that we will build throughout the rest of this year. Digital transformation efforts remain a top priority for many companies, and we expect this will continue to be a strong driver for our business. Before Dave gets started on the financial details for the quarter, I'm sure everyone saw the announcement today that Dave will be transitioning out of his role later this year to spend more time with the family.  I want to take a moment to thank you Dave for your significant contributions to Anaplan as Chief Financial Officer. Since joining the company in 2018, Dave has dedicated himself to our core business objectives and made a lasting impact on the company. Dave will continue in his role until his successor is hired.  Now let me turn over the call to Dave who will discuss our first quarter financials and provide our outlook for the second quarter and fiscal year 2022. Dave?
Dave Morton: Frank, thanks for the nice comments. I'm looking forward to taking some time off for the first time in my career to spend time with the family. The need for scenario-based planning has never been greater and Anaplan is fully focused on executing against the opportunities ahead.  Even before I joined Anaplan, I appreciated our focus on solving CFO pain points and I've enjoyed working with the team to further that mission. It's been a pleasure to serve as Anaplan’s CFO and I look forward to doing whatever I can to support Anaplan’s path forward, including assisting with the search process.  Now turning to the quarter. Total revenue for the first quarter was 130 million, up 25% year-over-year. Within this, subscription revenues grew 26% and comprised 91% of total revenue. Service revenues were 11 million, up 15% from the first quarter last year. Calculated billings for the first quarter were 127 million, up 32% year-over-year driven by strong sales execution and higher growth in net new bookings this quarter.  Remaining performance obligations, or RPO, exiting the first quarter was 832 million, up 29% over last year. The current portion of RPO that is expected to be recognized as revenue over the next 12 months is 442 million, up 34% year-over-year, which represents sequential quarter, year-over-year growth in terms of total and current RPO.  We demonstrated healthy new enterprise growth and ended the quarter with over 1,700 customers. Running Anaplan’s platform within existing customers resulted in dollar-based net expansion rate, or NRR, of 118% this quarter. In addition to the continued success in delivering a year-over-year growth and volume of expand deals, there was no change in churn in the first quarter. And our overall customer retention rate is in line with historical levels.  Turning to our profitability metrics. Total non-GAAP gross margin was 77%, down approximately 1 percentage point year-over-year. Within this, subscription gross margins were 84% and service gross margins were approximately 8%.  Total non-GAAP operating expenses were 112 million for the first quarter, up from 94 million in the prior year, primarily due to investments in key areas to support future growth. Specific investments were targeted towards go-to market, sales capacity, pipeline generation, marketing support, and our product development roadmap are advancing additional features and functionality across our platform.  Operating margins for the first quarter were negative 9.6%, an improvement of over 3 percentage points compared to negative 12.9% in the same period last year. Net loss per share in the first quarter was $0.10, based on 144 million weighted average shares.  Free cash flow for the first quarter was 8 million, demonstrating our good working capital management and we exited the quarter with 328 million in cash and cash equivalents. Looking ahead for the second quarter of fiscal 2022, we anticipate revenue to be in the range of 133.5 million to 134.5 million. Within this, we expect services revenue to be in the range of 10.5 million to 11.5 million.  Billings for the second quarter are expected to be in the range of 138 million to 140 million. This implies a year-over-year growth rate in the range of 27% to 29%. For the full fiscal 2022, we are raising our guidance of expected revenue to be in the range of 555 million to 560 million.  Moving on to the operating margin. We expect non-GAAP operating margin for the full year to be in the range of negative 8% to negative 9%, which is in line with the guidance we provided last quarter. As businesses begin to recover, we're making investments now to expand our go-to market and product enhancements for next year.  Therefore, operating margin for the second quarter is expected to be in the range of negative 14% to negative 15%. Weighted average share count for the second quarter and also for the full fiscal year is expected to be approximately 146 million shares.  In closing, Anaplan’s global market opportunity is dynamic, and we are confident our business strategy will deliver continued success. Investing on our global reach and feature functionality of our platform allows us to continue to define how we participate in the marketplace, expand our market leadership to reach a growing base of new customers and provide for expanding use cases within our existing customers. Q1 was successful, and we look forward to providing updates on our execution and results as we progress through our fiscal year.  I'll now turn it over to the operator for questions.
Operator: [Operator Instructions]. Your first question comes from the line of Kirk Materne from Evercore. Your line is open. Please ask your question.
Kirk Materne: Yes, thanks. Thanks for taking the question. Frank, maybe you can help us out and I'm sure Dave, you can offer us some thoughts on this as well. But if we look at sort of the bookings trends around RPO and CRPO, obviously it's showing a little bit more acceleration than billings. And then I realize, Dave, you can maybe offer up some thoughts on FX. But how should we think about where the business is? It seems like it's accelerating versus where you were last year? Does it just take a little while for the deals to get in the pipeline and then start to cascade into bookings? Because the bookings look strong, but obviously I think people are a little bit concerned about the billings number. So maybe just add some color there, because obviously the stock’s down aftermarket and I think there's a pretty big gap between sort of the calculated bookings number and the billings number? Thanks.
Frank Calderoni: Thanks, Kirk, for your questions. Yes, I would agree with the points you just made. Just a couple of comments I'd make similar to what I just mentioned. So we had a solid start to the year. And we're optimistic about kind of the environment, the overall environment with kind of improving spending environment and the continued execution of our growth strategy, we feel that we're well positioned to really go forward, both with new business as well as expand business, and see that continue to accelerate as we continue through this year. The Q1 performance really reflects, I would say, steady execution, both on the new customer side. You saw -- I mentioned about the number of new customers over 1,700. So a nice healthy increase in the quarter. And then we also saw a larger percentage of our mix being toward expands. So it's really showing that customers are continuing to add to their Anaplan platform usage, which is good. I think the NRR 118 reflects improvement in the deal volume, again, substantiating kind of what's really -- we're seeing with current customers and their expansion. And I think, as you pointed out Kirk, I have to say that we're in the early stages of recovery. I’m talking about the overall market and also where Anaplan is from that perspective. But I really feel confident in the momentum that we're building. And I think we're going to continue to build that momentum gradually through the rest of this year and really close out with a good year, which positions us well for next year. You mentioned about the bookings. I do want to highlight that, because I think that's important. Because you can see based on either the RPO or the current RPO growth as well as the calculated RPO bookings, calculated RPO bookings, as an example, it's approximately about 40% growth. And if you look at kind of the trend over the last couple of quarters of where that's been, it's continued to accelerate from a growth rate perspective. And I think that gives a better indicator of where the current business is moving. If you recall last year, we talked about linear progression each quarter. I think that's continuing now. And I think the current RPO bookings is giving you an indicator of that. And as I said, I think we're in the early stages and I think we'll continue to see that play out throughout the rest of this year.
Kirk Materne: Thank you, all.
Operator: Your next question comes from the line of Alex Zukin from Wolfe. Your line is open. Please ask your question.
Alex Zukin: Hi, guys. Thanks. I'm going to try Kirk's question a different way. Can you -- I think we all understand and can see the optical bookings, the healthy optical bookings trends, but is there something happening from a billing or invoicing duration where billings is just the wrong metric to be looking at right now? And maybe even as a follow up, is there a way we can even start guiding to CRPO, because it's a better indicator of future performance based on your prior comments. And then as a higher level question, if we think about the opportunity for penetration in the existing base, the motion that you guys are expanding right now, what is the opportunity that is there? If you look at your customer base and you just size the opportunity in terms of incremental monetization, where do we get to?
Frank Calderoni: So a couple questions in there. So, Alex, in your first question as far as billings, nothing abnormal in the billings to answer that. Now as far as the other question, which both you and Kirk asked, as far as what's a good indicator or trend? We're looking at that. We want to continue to -- as this year plays out, think about what that is that would give a good indication of the trend in our business. I feel good about that trend, similar to what I just said before, with the backdrop of the recovery, not everything from a market perspective is operating on all cylinders yet. We want to clearly stay on that. If I step back, I look at the geographies, the geographies, there’s a mix performance. If you look at it around the world and we are very global. And so as that continues to play out. The second thing is industries. Some industries like healthcare, financial services, technology are doing well. Others are still recovering. And so we're looking at what is a good measure of that trend? And that's why kind of just right now, we look at billings, because we guided to billings and I feel good on how we performed on the billings. I mentioned about the calculated bookings looking at the near term as somewhat of a trend too. So we'll continue to look at this over the next quarter or two, and figure out to be more transparent what we can actually provide that can give you and the investment community kind of a better gauge of where things are trending. But let me -- I do want to step back. I really feel good about the progress that we're making, what we're hearing from customers, what we're hearing from partners, the investment that we're making, the investments that partners are making and I think we're well positioned.
Alex Zukin: That makes sense. I guess, let me ask just a follow up. If I think about the guidance for the year, if I think about the trend lines in subscription revenues, how long -- you talked about the acceleration in bookings that we've now seen for a couple of quarters? How long is it going to take for that to start to present more impactfully in the subscription revenue line?
Frank Calderoni: Alex, I don't want to answer that exactly, because I -- but let me just give you some color on this. Because similar to what I mentioned in the prepared remarks, it's -- the pace of recovery is improving. I think it's great to see that things are opening up more, especially in the U.S. And as we start to see more openings, let's say in Europe and Asia and also industries coming back. As I said before, travel and hospitality, as one example for us, has not shown progress. We have seen some improvement as I called out about automotive, which is a good sign. So I feel -- if I look at pipeline right now, which could give you the answer to that question. We've continued to build pipeline. If I look at the pipeline that we currently have, it's increasing. The size of deals is improving. The breadth of deals, meaning cross industry, is improving. And so I think as the next few quarters play out for this year, we'll continue to see gradual improvement. And I feel good about how I think we can end this year, because of all those indicators and the trend that we're seeing in the market, the trend we're seeing in Anaplan to be able to close up this year strong.
Alex Zukin: Great, thanks. That's very helpful.
Operator: Your next question comes from the line of Siti Panigrahi from Mizuho. Your line is open. Please ask your question.
Siti Panigrahi: Thanks for taking my question. Frank, just wanted to ask you about your sales organization. We heard you guys did a lot of hiring heading to fiscal this year. So a couple of things. Is there any change now that Bill also joined us here, or is there any change to the sales reorg [ph] and any territory assignment, any other changes done to the sales reorg?
Frank Calderoni: So, overall, no change. But as you know, I think everyone knows this, as we start the new fiscal year, there's always some reassignment, but that's typical, nothing out of the ordinary from that perspective. It's great to have Bill on board. Bill’s now coming up on his six-month anniversary. Internal, Bill has done a substantial amount of progress, kind of focusing on really building out many of the initiatives that we have underway, focusing on how we can get to an expansion of new customers, dealing with current customers, and working with them on the adoption, and what's going to take for them to continue to leverage Anaplan and the platform going forward. He's got several initiatives underway around that, which is really helping us get to larger deals and faster progress and moving through, let's say, the roadmap for those customers. He's focused on operational excellence, taking a rigorous operating approach. I mentioned that during the prepared remarks, having opportunity reviews, doing coaching across the organization, building -- continuing to build the culture and the skill set of constant inspection, opportunity in advancement and execution. So we can improve the deal cycle. Improving the deal cycle, especially with what we have in the pipeline, is going to enable us to improve the overall opportunity that we see over the next couple of quarters. He's resonating with the team internally and also resonating with customers. He's had -- I was doing a lot of my one on ones with CEOs and CFOs and CIOs, and it's great to have Bill jump in too, in addition to our leads in each of the geographies. We now have much more capability to do more of that, which is fantastic.
Siti Panigrahi: Yes, that's in line with what we have been hearing. Another quick question, you talked about lot of deals on supply chain planning, sales planning and other than financial planning, which is impressive. So what's the mix these days in terms of financial planning versus other planning modules?
Frank Calderoni: If I would average, it is still about 60/40. But I mentioned this and this is -- I can't stress this enough, and it goes back to what I mentioned about Gartner and Forrester. It's great to see recently Forrester come out with a very similar survey that they've done now over an extended period of time talking to customers and prospects about the importance of enterprise planning rather than financial planning. And that plays extremely well into Anaplan’s platform. But I emphasize that because all the transactions right now, and this now has gone on for a couple of quarters, and also what's in the pipeline, we're seeing that play out. We're seeing enterprise planning. We're not just seeing financial use cases. We're seeing finance use cases that are tied to supply chain, tied to sales performance management, tied to human resource analysis, right? And that plays to our strength, when you look at what we have to offer. And so, yes, we are seeing an increase in supply chain activity, workforce planning activity, sales performance management. Going back to what I was talking about with Bill, this is right in his sweet spot; sales performance management. He's been extremely busy talking to heads of COOs and other companies, heads of sales operations, really kind of -- because they're looking for efficiency and how they manage their sales execution. And he had experience even with what he was doing at Medallia before coming to Anaplan and now seeing the platform here firsthand. So really leveraging that, talking with his peers out in the marketplace has been fantastic. But we are seeing a significant amount of these enterprise opportunities.
Siti Panigrahi: Okay. Thanks for the color, Frank.
Operator: Your next question comes from the line of Brent Thill from Jefferies. Your line is open. Please ask your question.
Brent Thill: Good morning. Frank, just as it relates to the new logos, existing has been very strong and you mentioned the pickup as a percent. Can you just walk through when you expect the new logos to have a bigger impact? Do you expect that to have a turn up in the back half of '21?
Frank Calderoni: Great question. So let me just start again. We talked about over 1,700 customers. Last quarter, we talked about over 1,600 customers. So a really nice pickup; and this is in Q1 with the new logos. So those customers that are picking their head up after what they've been through over the past year and saying, hey, I want to work with you and how I can build a true enterprise plan across my organization. So that provides us with also great opportunity. The other thing I would just highlight is the comment I mentioned about pipeline. We also look at -- as those customers come on, what other potential use cases come from that. And so we're seeing that in the pipeline, which is good. So that allows us to have some further expansion. But it also allows us to look at other new customers. And what I was saying before, as far as the pipeline is showing even with other new customers that we have in there, average deal sizes are increasing. So I would expect over the next few quarters, as we continue to progress through this year, we'll see that continuing to come back. And that's continued to happen over the last quarter or two, and I expect it to continue throughout this year. 
Dave Morton: And it goes back to where organizations are as far as just releasing budgets, first of all, right? They've been a bit conservative, especially when you think about enterprise transformation projects because of what they've been through. And the second point that comes up, which we're seeing, and now that hopefully more companies are going to go back into June-July timeframe into the office, it's the availability of skill. Bringing people together to work on projects, having them fully focused, I think that's also going to provide some additional incentive for them to upsize their projects or really take on the project. The last thing I just want to mention, because I've been looking at a lot of surveys that have been done. There was one even recently, which I appreciated, where it was looked back over the past year where it stated that 70% of projects or investments are really put on hold over the past year. And that more recently, indication is about 50% plus of that are expected, these projects to come back within the next six months. So that survey and there’s other surveys have read kind of showing those pause projects are now starting to come back or expected to come back. And we're seeing some of that in the pipeline.
Brent Thill: Great. Just a quick follow up. I know we'll get more in the 10-Q. But just as it relates to the geo trends, was there anything notable or surprising to you, Frank, as it related to business in Europe or Asia versus the U.S.?
Frank Calderoni: So as I mentioned, again, the recovery is mixed. It's mixed from a geography and it's mixed from an industry. From a geography perspective, we're seeing strength in the U.S., as you would expect. I mentioned an opportunity we've started to see in Japan. So we're seeing strength in Japan. I'll just kind of highlight some of the markets on the positive side. And the other thing, which has been a small market for us, and it was sort of like put on pause, because we started to invest in before COVID. And so that kind of put on pause is Germany. So we're seeing some strength in Germany. Those are the markets I would say strength. On the other side, we have a big business in France and we have a big business in the UK. The UK, I would say, has a mixed environment. But coming back, France has had, and this is more from an economic perspective, they've had some starts and stops more so than perhaps maybe some other geographies as it relates to the COVID situation. And I'm optimistic about what we're starting to see as far as pipeline for us in France. So France -- and then there's other countries, I would say, Southern Europe and also in Asia where it's been a bit mixed. But for our business perspective, the geography mix for us this past quarter was in line with what we've seen before.
Brent Thill: Great, thanks.
Operator: Your next question comes from the line of Brent Bracelin from Piper Sandler. Your line is open. Please ask your question.
Brent Bracelin: Thank you. I guess, Frank, just sticking on that demand recovery theme here. Net dollar attention improved here for the second straight quarter. I think 118% is the highest we've seen in over a year. My question here is, was the improvement in net retention this quarter driven by a handful of large deals? Was it across the broader base of customers where you’re seeing spending come back and you talked about demand recover being mixed? Love to better understand the breadth of expansion you saw here in the install base? Was it concentrated or was it broad based?
Frank Calderoni: It was broad based. A simple answer, it was broad based. It also goes back to what I was saying about large deals. Large deals are still in the recovery for us. So we see that more later this year. But this was broad based, which was good to see. And it shows, and we've talked about NRR in the past, it's all based on the cohort of customers that we have in a certain period that we're looking at. So it was broad based, which allowed us to see this improvement.
Brent Bracelin: Perfect. And then just one last follow up as you think about the role of partners. You talked about I think seven of the top 10 deals influenced by partners. I think in the past, you've talked about 50% of top deals influenced by partners. So walk me through what's changing here on the partner front? It does feel like they're becoming a more important part of sourcing larger deals? And love to understand kind of what's changed, why it's shifting here and how you're going to kind of engage with those partners? Thanks.
Frank Calderoni: So another good question. The first thing I would say is, and it goes back to even the comments I was just making about survey results, right. Projects are coming back online. Those projects tend to be more transformational, more around digitization and the funding is coming back. The skills, of course, there are now coming more online. And that's especially with the GSIs, they're seeing the opportunity. They're doing their own surveys. So they're knowing that and they’re going to put investment of that behind where they think the opportunity in the market is going. So we have been seeing investments by those GSIs and by other partners on Anaplan. I mentioned that earlier. And that investment is broad based, right, in different parts of Anaplan’s skills that they’re looking to add or have been adding. And we just had a QBR. Bill and I just attended a QBR with one of our large GSIs yesterday. And it was all action-oriented. It was, okay, how do we roll up our sleeves and look at the opportunities that we see out there? And how do we make these things happen? And we're trying to -- seeing the opportunity, we want to get in there along with these GSIs and figure out how do we start to get that across the finish line much faster? Because the opportunity is there, right? So we're looking at ways to see how we can accelerate. And part of that is investment. You heard Dave mentioned earlier about we're in line for the full year from a margin perspective, but we're still -- ourselves we’re starting to accelerate the investment earlier in the year, primarily because of that. It's an indicator of us. And by the way, yesterday as part of that QBR, we looked at each other and said, are you going to be making more investment? And we kind of identified where that investment needs to be. So the partners are in. The other thing I just want to highlight, just stepping back, and I know we talked about this last quarter, and I say this because this is substantial. We've now become a global alliance partner with Deloitte, and that is in the top tier of partners. And so when you're in that top tier, more investment dollars goes there and there's much more visibility. And so we're seeing that visibility, which is great. And then lastly on the partner side, which I'm really excited about, is the alignment of those GSIs with the technology partners of GCP and AWS. When we announced that both for GCP back in September and then last quarter with AWS, we said that that would be more latter part of FY '22, right, primarily just to get everything aligned on the technology, but also from the standpoint of the go-to market and working through that. We've been making great progress. And we're already starting to see opportunity come through in pipe, and that positions us well for the back half of the year.
Brent Bracelin: Good to hear. Frank. Thank you.
Operator: Your next question comes from the line of Michael Turrin from Wells Fargo Securities. Your line is open. Please ask your question.
Michael Turrin: Hi, there. Thanks. Good morning. The Q1 results were fairly tight on what you guided for last quarter. Is there anything you can add just to help us contextualize what drove the tighter spread? Is some of that business Q1, some maybe the pace of recovery you’re articulating Frank and maybe just remind us the degree of visibility you have into any given quarter?
Frank Calderoni: So as you were asking the questions, you then answered, and you took the words out of my mouth. So first, yes, it’s in Q1 and early in the year. And then two, as you emphasized, which I mentioned earlier, it's the pace of recovery. And I just caution everyone. This past year, for all businesses, it's been challenging. But I think we're all being optimistic as far as how things are progressing. We just want to be careful on how we're approaching it. Great signs and we just got to get things moving so that we can accelerate. And I think we're positioning everything for that, similar to how I responded to some of the previous questions. But the caution is, it takes some time and we're focused on it. We're trying to accelerate it along with our partners. But I also want to put out there, we sell primarily to enterprise, right, and enterprises and I think you see this with other companies in the SaaS space as well. Enterprises are taking -- they're moving in the right direction. They're positive. They know what they need to do. They're seeing the importance of digitization and the importance of agile planning. They want to make the investment, but things just with enterprises take a little time and we're seeing that through. And it's great that it’s coming through the pipeline. And then we can then continue to increase the pipeline as well as move them through the pipeline and different stages of the pipeline.
Michael Turrin: That's all helpful. Maybe just a follow-on, similar question to a few of the priors, but maybe more direct. Is there anything significant that was booked, but maybe not billed in the quarter just given the difference between those two growth numbers? I think just the more color you’re able to provide there, the better. Thank you.
Frank Calderoni: No, not really. Nothing. Not really.
Michael Turrin: Okay. Thanks.
Frank Calderoni: As I said, I just want to -- most of the trend comments for the quarter, I think I've already covered and also kind of positioning that for the quarters to come, right, as far as the pace of recovery.
Operator: Your next question comes from the line of Stan Slotsky from Morgan Stanley. Your line is open. Please ask your question.
Stan Slotsky: Thank you so much and good morning, everybody. So maybe a question for Frank on the thing odd as far as linearity of the quarter and how everything came together?
Frank Calderoni: Stan, nothing -- I go back to the previous question. It's a Q1, right? So with every Q1, we have a sales kickoff meeting in the first month of Q1. You have some realignment of territories and things like that, while we were bringing people in and so forth. That's nothing out of the ordinary. Actually linearity was pretty standard for Q1 for us and it continues to build as the quarter unfolds. So no, nothing.
Stan Slotsky: Okay, got it. Well, maybe a slightly different question. And I don't want to leave Dave on an island of one. Is there a change or any tweaks to how you're doing the forward guidance methodology, either for this year versus prior quarters, prior years? Any additional levels of conservatism maybe that you're baking into forward guidance?
Frank Calderoni: Dave, you want to jump in on that one?
Dave Morton: Sure. Thanks, Stan. No, there's no change whatsoever of how we exercise our prudent thoughtfulness across both current quarter as well as for the year.
Stan Slotsky: Got it. Good luck, Dave. Thank you.
Dave Morton: Thanks.
Operator: Your next question comes from the line of Scott Berg from Needham. Your line is open. Please ask your question.
Scott Berg: Hi, Frank and Dave. Thanks for taking my questions here. Actually, I think I just have one. Can you help remind us your view on growth versus profitability on kind of a go-forward basis? We look at the model right now, obviously, mid 20s subscription revenue growth is probably going to accelerate a little bit here. But I think it probably gets into maybe the 30%, 35% range plus or minus and the current profitability structure is one that probably doesn't meet the Rule of 40 necessarily that some look for, and not that I'm a big subscriber of that but I think we're all kind of subscribers of that general teeter-totter and moving those do in different directions? Thank you.
Frank Calderoni: Scott, thanks for the question. And Dave, you can jump in as well. So let me start by saying, we're positioned for growth. The investments that we're making, both on the product side as well as on the go-to market side, is to really go after that growth. It goes back to our whole thesis as far as the opportunity that's out there in the marketplace for us with enterprise planning with then digitization initiatives that are underway. And so we want to make sure that we’re well positioned. I think we're in a leadership position. We want to maintain that leadership position going forward. And I think there's a great amount of TAM for us to go after. So I put that out there. On the other side, it's really kind of having the balance. So we believe in the Rule of 40. I think we've been making progress towards that. Again, if you look at the margin guidance that we had for the full year, we’re kind of in line with what we had said before and we're going to continue to focus on that throughout this year and as we go into next year as well. So it's continuing growth primarily -- the more growth we have, the better it's going to help on the margin side but make sure we're all still focused on Rule of 40. Dave, I don’t know if anything else I may have missed that you want to jump in?
Dave Morton: No, I think you gave a very fair assessment.
Scott Berg: That’s all I got. Thank you.
Operator: Your next question comes from the line of Terry Tillman from Truist Securities. Your line is open. Please ask your question.
Terry Tillman: Yes. Thanks for taking my questions. Hi, Frank, Dave and Edelita. And Dave, congrats on being able to spend more time with the family and good luck with whatever you pursue next. I had a question and follow up. First, Frank, in terms of PlanIQ, is there -- we're getting a little bit further along now with this innovation. Any way to kind of size up the ARR uplift, or would this be maybe more impactful with new customers versus existing customers? And then I had a quick follow up.
Frank Calderoni: Terry, I'm glad you brought that up. That's one of my favorites. And I have to say that we successfully GA’d [ph] yesterday, so we had a little bit of an internal celebration around that. And I really want to put a shout out for the team for really bringing that across the finish line, on schedule and on budget. So great job by the team. The other thing I highlighted earlier, we've been, not only is now GA’d but we actually have been working with several customers since we announced back in September, and those customers have been extremely -- what we're learning from them is extremely valuable in the importance of bringing intelligence into their forecasting and some of the things that I gave some of those examples before. So I see this for me, for us as a big opportunity for us to leverage. Bill right now, and now that we've GA’d or even prior to, is working a kind of a go-to market. We've had that in the works over the last couple of months to really kind of take advantage of this more extensively in the marketplace, with existing customers and new customers. So you'll be hearing more about that over the next couple of quarters. It's hard right now for me to size the impact as far as the benefits, but we'll have more insight as the pipeline builds over the next quarter or two. And we'll make sure we try to provide some additional color.
Terry Tillman: That's great. And just the follow up is related to, we hear from some software companies in certain segments about vendor consolidation, either during the pandemic or coming out of the pandemic, doing more with fewer vendors. It's kind of a competition question related to like vendor consolidation. Are you seeing any changes or opportunities as it relates to vendor consolidation and/or just competition broadly speaking? Thank you.
Frank Calderoni: No, nothing -- no real change that I can really think of to really mention. Otherwise, on that last question, I just want to also emphasize the PlanIQ includes the Amazon Forecast. So it just reiterates the kind of partnership on the technology side that we have with AWS and Amazon. And we have two versions, an Amazon version and an Anaplan version. So it's great to see that even working with AWS, the partnership has really progressed.
Operator: Your next question comes from the line of Josh Beck from KeyBanc. Your line is open. Please ask your question.
Josh Beck: Thank you for taking the question. I just wanted to follow up on some of the commentary about enterprise transformation. Frank, earlier you mentioned that -- it sounds like in some cases these large customers might not really even have maybe the skills or perhaps the resources to pursue really large enterprise transformation types of projects. So as we go through the next 6 to 12 months, what will you be looking for in terms of maybe mile markers that indicate that customers are really willing to step up and really reengage in these large enterprise transformation types of projects?
Frank Calderoni: So let me just clarify. When I talk about availability to skills, it's not so much that those skills don't exist in the organization. I think more of it has to do with just the disruption that COVID has provided in the work environment in aligning some of those skills that they currently have, and then prioritizing them on certain initiatives, more so than those skills don't exist. So I just put that out there. Clearly, this also ties back into what I was saying before about the GSIs, because that's the value that GSIs also bring, is they bring some of the transformational skills aligned with what raw skills are available within the enterprises themselves. And that then comes down to having aligned budget to be able to do all that. So I think it's a combination of all that. What we're doing similar to what I said before is when we do these projects, it goes back to the planning, what the enterprise, the customer is planning, how we're planning to bring skill to the table, and then also the partners bringing that skill, right. So we're working with them early on in that planning cycle to make sure that we can lay that out. And I would say on your question about the measure, it's really going to be how fast we can get some of these deals planned and starting to green light. So as that continues to increase, we'll get a better indication of how the skills are really kind of aligning and coming together to move these things forward. And we've seen some of this. I'm not implying that it's not happening. I highlighted automotive as a great example, where things have started to come together. In the past, I highlighted healthcare as an industry where things have really started to come together; technology, where things have really started to come together. So those are indications where those skills got aligned. The budget’s got put behind it, and those projects move forward.
Josh Beck: Really helpful context. Thank you.
Operator: Your next question comes from the line of Patrick Walravens from JMP. Your line is open. Please ask your question.
Patrick Walravens: Great. Thank you. Frank, can I ask about the competitive environment? So were you seeing more? Who are you seeing less? And in particular, OneStream is coming up a lot, and just wondering what the competitive dynamic is like with OneStream?
Frank Calderoni: So good question. First of all, as I've mentioned this before and really haven't seen any change in the competitive dynamics. I start putting out there, as I mentioned a few minutes ago, large opportunity from a TAM perspective and what's happening. I think when you look at Anaplan highlighting both, again the Gartner and the Forrester positioning of enterprise planning, which aligns to our sweet spot. And I think by far from an enterprise planning standpoint, we clearly meet those requirements. I think you're seeing in some of the competitive landscape that companies that are out there are looking to find ways even through potentially some acquisitions to broaden, especially if they're in finance, broaden their planning because they see that customers are really looking at enterprise planning aligned again with Gartner and Forrester are seeing in their surveys. So I think we have a leadership position. It's a big TAM. No specific change in the competitive dynamic. My answer on the OneStream, I see that as a solution in the financial space, specifically around consolidation and there is need from a consolidation and the next step in consolidation. So they are filling that need. But again, I’ve positioned Anaplan in broad planning enterprise wide and that's pretty much where I think the market is really going.
Patrick Walravens: That’s perfect. Thank you.
Frank Calderoni: So I'd like to -- I think we're kind of coming up on the end of our call here. So I'd like to thank our employees, our customers, our partners, and also investors, and any other key stakeholders. We value the strategic partnership. And as I said before, we're seeing improvement in the pace of recovery and we are optimistic about the opportunity that lies ahead for us. And again, thank you for joining us today and we look forward to a further dialogue next quarter.